Operator: Good morning, ladies and gentlemen and thank you for waiting. At this time, we would like to welcome everyone to Banco Macro's Fourth Quarter 2018 Earnings Conference Call. We would like to inform you that the fourth quarter 2018 press release is available to download at the Investor Relations website of Banco Macro at www.ri-macro.com.ar. Also, this event is being recorded and all participants will be in listen-only mode during the Company's presentation. After the Company's remarks are completed, there will be a question-and-answer session. At that time, further instructions will be given. [Operator Instructions] It is now my pleasure to introduce our speakers. Joining us from Argentina are Mr. Gustavo Manriquez, Chief Executive Officer; Mr. Jorge Scarinci, Chief Financial Officer; and Mr. Nicolás Torres, Investor Relations. Now, I will turn the conference over to Mr. Nicolás Torres. Sir, you may begin your conference.
Nicolás Torres: Good morning and welcome to Banco Marco's 4Q '18 conference call. Any comments we may make today may include forward-looking statements, which are subject to various conditions and these are outlined in our 20-F which was filed to the SEC and is available at our website. Third quarter '18 press release was distributed yesterday and is available at our website. 4Q '18 press release was distributed on Friday and also available at our website. As from fiscal year 2018, Banco Macro results are reported under communications A6114 of The Central Bank of Argentina. Figures for fiscal year 2017 have been restated in accordance with IFRS , and some items have been reclassified in order to make a comparison between periods possible. I will now briefly comment on the bank's 4Q '18 financial results. Banco Macro's net income for the quarter was ARS5.2 billion, 37% or ARS1.4 billion higher than in 3Q '18 and 37% higher than the ARS3.1 billion posted a year-ago, based on an increase in net interest income and an increase in net fee income. The bank's 4Q '18 accumulated return on equity and return on assets of 30.7% and 5.8%, respectively, remains healthy and show the bank's earning potential. On a fiscal year basis, Banco Macro earned ARS15.8 billion in fiscal year 2018 or 55% higher than the ARS10.1 billion earned in fiscal year 2017.  * Net operating income before general and administrative and personnel expenses for 4Q '18 was ARS16.2 billion, increasing 62% or ARS6.2 billion year-over-year. Operating income after general and administrative expenses was ARS7.6 billion, 81% or ARS3.4 billion higher than a year-ago. In fiscal year 2018, operating income totaled ARS22.5 billion, 51% higher than in fiscal year 2017. In the quarter, net interest income totaled ARS4.3 billion, 19% higher than the ARS10 billion registered in 3Q '18 and 66% higher than the result posted one year ago. This performance can be traced to a 128% year-over-year increase in interest income and a 276% year-over-year increase in interest expenses. In fiscal year 2018, net interest income totaled ARS39.6 billion, 64% higher than the ARS24.1 billion registered in fiscal year 2017. Within interest income, interest on loans rose 26% or ARS3.2 billion quarter-over-quarter due to a 7% increase in the average volume of loan and a 450 basis points increase in the average lending rate. On a yearly basis, interest on loans were 87% or ARS7.2 billion higher. In 4Q '18, interest on loans represented 65% of total interest income. During fiscal year 2018, interest on loans totaled ARS47.5 billion, increasing 68% compared to fiscal year 2017. Net income from government and private securities increased 77% or ARS3.5 billion quarter-over-quarter, due to higher LEBACs volume and higher interest rate. Compared to 4Q '17, net income from government and private securities increased 294% or ARS6 billion. In fiscal year 2018, net income from government and private securities totaled ARS17.7 billion, 208% higher than the results posted in fiscal year 2017. In 4Q '18, differences in quoted prices for gold and foreign currency totaled at ARS729 million gain as a consequence of the 8% Argentine peso appreciation against the U.S. dollar and the bank's short FX position during most of the quarter. In 4Q '18, interest expenses totaled ARS11.5 billion, a 78% or ARS5 billion increase compared to 3Q '18 and 280% or ARS8.5 billion higher on a yearly basis. Within interest expenses, interest on deposits increased 87% or ARS5 billion quarter-over-quarter, mainly driven by a 19% increase in the average volume of time deposits and a 640 basis points increase in the average time deposit interest rates. On a yearly basis, interest on deposits increased 301% or ARS8 billion. In 4Q '18, interest on deposits represented 92% of the bank's financial expenses. In fiscal year 2018, interest on deposits totaled ARS23.2 billion and were 150% higher than in fiscal year 2017. As of fourth quarter of '18, the bank's accumulated net interest margin including FX was 14.9%, higher than the 14% posted in 3Q '18 and the 4.7% registered in 4Q '17. In 4Q '18, net fee income totaled ARS3.1 billion. On a yearly basis, net fee income increased 38% or ARS864 million. During fiscal year 2018, net fee income totaled ARS11.1 billion, 31% higher than in fiscal year 2017 with fixed charge on checking and payment accounts standing now. In the quarter, other operating income increased 54% or ARS633 million. Other income stands out with a ARS548 million decrease compared to 3Q '18, given that there were no buybacks of corporate bonds through in 4Q '18. On a yearly basis, other operating income increased 69% or ARS218 million. In 4Q '18, Banco Macro's personnel, administrative expenses totaled ARS5.2 billion and increased 16% quarter-over-quarter. Employee benefits increased 15% quarter-over-quarter as a result of salary increases agreed with the union. Compared to 4Q '17, general, administrative and personnel expenses in 4Q '18, were 46% higher. As of December 2018, the accumulated efficiency ratio reached 37.9%, improving from the 39.1% posted in 3Q '18 and 40.2% posted in 4Q '17. This was a result of a 16% increase in expenses and a 27% increase in net interest income, net fee income and other operating income as a whole. Banco Macro continues to be the most efficient bank in Argentina. In fiscal year 2018, the accumulated efficiency ratio was 37.9%, significantly better than the 40% posted in fiscal year 2017. This was as a result of a 38% increase in expenses and a 45% increase in income. In fiscal year 2018, Banco Macro's effective income tax rate was 30.6% compared to 32.7% in fiscal year 2017. The statutory tax rate was cut in the latest tax reform bill, and as of January 2018, stands at 30% and it will be further reduced in January 2020 to 25%. In terms of loan growth, the bank's financing to the private sector grew 2% quarter-over-quarter, 36% year-on-year. It is important to mention that Banco Macro's market share over private sector loans as of December 2018 reached 7.9%. On the funding side, total deposits grew 12% quarter-on-quarter and 65% year-on-year. Private sector deposits grew 14% quarter-on-quarter and 67% compared to 4Q '17, while private sector deposits decreased 4% quarter-on-quarter. As of December 2018, Banco Macro's transactional accounts represented approximately 43% of total deposits. Banco Macro's market share over private deposits as of December 2018 totaled 7%. In terms of asset quality, Banco Macro's nonperforming to total financing ratio reached 1.91%. The coverage ratio reached 117.74%. In terms of capitalization, Banco Macro accounted an excess capital of ARS45.7 billion, which represented a total regulatory capital ratio of 26.5% and a Tier 1 ratio of 19.7%.The bank's aim is to make the best use of this excess capital. The bank's liquidity remain more than appropriate. Liquid assets to total deposit ratio reached 57.1%. Overall, we’ve accounted for another positive quarter. We continue showing a solid financial position. Asset quality continues under control and closely monitored. We will keep on working to improve more our efficiency standards, and we’ve one of the cleanest balance sheets in Argentina's banking sector and we keep a well optimized deposit base. At this time, we’d like to take the questions you may have.
Operator: [Operator Instructions] And our first question today comes from Nicolas Riva with Bank of America. Please go ahead with your question.
Nicolas Riva: Yes, thanks very much, Jorge and Nick for taking my questions. Just two quick questions. First on coverage of NPLs. We saw it continue to decrease now to 118% as of December. I believe that you guys have said that the idea was to drop this coverage to use some of the excess coverage earlier last year, but now how do you feel with this coverage now at slightly above a 100%? And if you have a target for the coverage for NPLs? And the second question on asset quality. We saw the continual increase in the NPL ratio now to 1.9%. even what’s going on in the economy in Argentina, what’s your outlook for the NPL ratio for the end of this year?
Jorge Scarinci: Hi, Nicolas. This is Jorge Scarinci. On your first question, yes, you’re right. We have been commenting this in previous calls. The idea that we built up the 180% coverage was also in good times, in order to use that excess in bad times. So we’ve been using that excess in the last three quarters. Also which we want to be above 100%, I would say that little by little we are going to be build up this ratio by the end of the year ranging between 120%, 140%. We do not have a specific target, but we should be ranging there by the end of the year. In terms of asset quality ratio, while we mentioned that the Argentine economy was down more than 2% [indiscernible] in 2018. We were forecasting this recession by April-May, that’s why we -- at that time, decided to stop lending aggressively and focus on asset quality control. The 1.9%, I think is total [indiscernible] level for us. Going forward, we think that the coming -- the first quarter and second quarter of 2019 are going to show similar levels. And maybe we’re going to see some marginal improvement by the end of the year. So I would say that we should be in the area of 1.5%, 1.7% by the end of the year, of course, depending on the economic reaction that we’re forecasting to see in the third and fourth quarter.
Nicolas Riva: Okay. So Jorge, follow-up on this. So basically you’re saying that we already reached probably the peak in NPL ratio. We would be more or less stable in the first half of this year?
Jorge Scarinci: Yes, I would say that the first quarter maybe January to mid February, that could be also seen as the lowest part of economic cycle. Honestly, I don’t know the exact number as we are going to spot [ph] to both in the first quarter, that is going to be similar than the one that we posted in the fourth quarter of last year.
Nicolas Riva: Okay. Thanks, Jorge. Thanks very much.
Jorge Scarinci: Welcome, Nicolas.
Operator: And our next question comes from Gabriel Nobrega with Citi. Please go ahead with your question.
Gabriel Nobrega: Hi, everyone, and thank you for the opportunity to ask questions. During this quarter, I actually know that your results from financial instruments or government picture [ph] is actually decreased quarter-over-quarter, which is quite peculiar as you have a high exposure to this high yielding assets. So what I actually want to understand from you is, if you’re not booking the results from this in your net -- in your interest income and also what is the flexibility that you have between classifying results from securities in your NII and in the separate line that you have in your P&L? Thank you. And I will make a second question afterwards.
Jorge Scarinci: Hi, Gabriel. I mean, in the fourth quarter, first of all, the bank took the decision that we are going to post the income coming from securities in the interest income line or in the interest income segments. Other banks decided to put that below the net interest income, that is the decision of many banks. So Banco Macro decided to put these on the interest income line. We had a very good result in terms of interest income coming from securities basically on the investment that we had on [indiscernible] that in the fourth quarter we decided to take advantage of the increase in the interest rates of the [indiscernible] that reached 75% at some point and then started to go down by increasing at the same time the level of time deposits. So the spread was extremely positive for the bank. Well, the numbers are -- is showing by good performance in that level. So that’s the answer for your question.
Gabriel Nobrega: All right. And if you may allow me just to follow-up here. As we see decrease liquidity -- sorry, as we see the interest rates actually decreasing, what do you expect to do with this excess liquidity that you have? Do you expect to continue on investing into the leads?
Jorge Scarinci: I mean, I think happened in the past was -- if you understand Banco Macro, which has the highest liquidity ratio in the system. And of course, the idea is to always invest in short-term instruments. We have attractive instruments. At some point, we [indiscernible] so that, yes, we continue investing the excess liquidity at the [indiscernible]. So going forward, I would forecast attractive income coming from the securities in the interest income line coming from the [indiscernible] investments.
Gabriel Nobrega: All right. That’s very clear. Could you also maybe share with us whether your expectations for loan growth are there -- maybe any segments that you wants to grow more? And then here maybe I’m trying to actually understand is actually what’s the gain share during this year or do you prefer to be more cautious? Thank you.
Jorge Scarinci: Well, Gabriel, we’ve to track very carefully the economy. As I mentioned before, we’re seeing the first and second quarter with some sluggish economy numbers, same reaction in the third and fourth quarter. But at the end of 2019 is going to be a negative real growth in GDP. So it's not going to be a good year for going very aggressively on lending. We are forecasting that loan growth is going to be similar than the inflation that the consensus is that we are making for this year, so that is in the area of 30%, 32%. So we are not going to be aggressively lending this year. Again, we want to keep a close eye, as always, to the bottom line. We will not care about market share on these years of economic recession. So maybe next year depending on economic conditions, we could be a bit more aggressive in lending.
Gabriel Nobrega: All right. That’s very clear, Jorge. Thank you.
Jorge Scarinci: You’re welcome, Gabriel.
Operator: [Operator Instructions] And our next question comes from Ernesto Gabilondo with Bank of America. Please go ahead.
Ernesto Gabilondo: Hi. Good morning, Jorge and Nicolás. A couple of questions from my side. My first question is, if you can provide any guidance for this year on net interest income growth and OpEx growth? And any color -- your expectations for the bottom line growth? Also, if you can provide your macro assumptions behind your expectations will be much appreciated. And then my second question is on M&A activity. We’ve seen in the past your interest to pursue an acquisition, [indiscernible] Banco do Patagonia given your high capital levels. So given that the Argentine banks industry is one of the most tremendous in the region and considering the current valuations, don’t you think is the best time to pursue an acquisition or do you prefer to wait after the elections? Thank you.
Jorge Scarinci: Ernesto, how are you? In terms of guidance, if you take that we’re expecting loan growth between 30%, 32%, also margins I would say that are going to be favorable to slightly increasing in this year compared to what we saw in 2018 and expected growing similar to inflation, you get what you get on your model. I’m not going to give the exact guidance on every single line of the income statement. So these are the basic numbers that we’re working for or working with, sorry. So we are expecting an attractive nominal growth in bottom line according to the numbers I gave you. In terms of your second question on M&A, first of all -- I mean, I agree with you that we have an excess capital and we have been always been waiting for the opportunity to buy another bank. But first of all, you need an official deal on the table, but for the moment there's no official deal on the table. Of course we are always keeping a close eye on any single opportunity that would appear. But for the moment, there is nothing three. I would say that a person that is interested or looking forward to sell might wait until this after election or might wait to see maybe price is going up a little more than the current prices. So we are going to make the best use of the excess capital and we are going to go for the opportunity when it's there and at a price that we consider that is the best for Banco Macro.
Ernesto Gabilondo: Perfect. Thank you very much. And any color and what could be the impact to your profitability once you have the implementation of hyper inflation accounting?
Jorge Scarinci: No, as we stated there, we’ve not finished with the calculations and the auditors working there. So as soon as we get the field, we are going to announce. But for the moment there's no final number there.
Ernesto Gabilondo: Okay. Thank you very much.
Jorge Scarinci: You’re welcome, Ernesto.
Operator: And our next question comes from Carlos Gomez with HSB (sic) [HSBC]. Please go ahead with your question.
Carlos Gomez: Hello. Good morning. I would like to know if you’re planning to reopen the repurchase program that you have been executing [indiscernible]? Thank you.
Jorge Scarinci: Hi, Carlos. How are you? Not for the moment, but of course, we -- I mean, the Board is going to track the stock price and depending on the level they’re and the decision of the Board we can -- we could be reopening there. But for the moment it's not under the ordinary schedule.
Carlos Gomez: Thank you very much.
Jorge Scarinci: Welcome, Carlos.
Operator: And there are no further questions at this time. This concludes the question-and-answer session. I will now turn the conference back over to Mr. Nicolás Torres for final considerations.
Nicolás Torres: Thank you all for your interest in Banco Macro. Have a good day. Bye, bye.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect your line.